Operator: Ladies and gentlemen, welcome to the Ageas conference call. I am pleased to present Mr. Hans De Cuyper, Chief Executive Officer; and Mr. Christophe Boizard, Chief Financial Officer. [Operator Instructions] Please also note that this conference is being recorded. I would like to hand the call over to Mr. Hans De Cuyper, Chief Executive Officer; Mr. Christophe Boizard, Chief Financial Officer. Gentlemen, please go ahead.
Hans De Cuyper: Good morning, ladies and gentlemen. Thank you all for dialing into this conference call and for being with us for the presentation of the results of Ageas for the first quarter of 2021. As usual, I’m joined in the room by my colleagues on the executive committee, Mr. Boizard, CFO; Emmanuel Van Grimbergen, CRO; Antonio Cano, Managing Director, Europe; and Filip Coremans, Managing Director, Asia. We are aware that today is a busy day for you, with several insurers reporting their results, so we will do our best to keep this call short. Starting with limiting our usual introductory remarks with the key elements. Anyway, the strong performance we recorded this quarter does not require extended explanations and we will come back to you in three weeks' time for an update on the strategy. The impact of the ongoing COVID pandemic is decreasing quarter after quarter. It continues to influence our results, with low Real Estate revenues in Life compensated by lower claims frequency in Non-Life but to a lesser extent than what we experienced in 2020. In Life, despite the lower contribution from Real Estate revenues, we recorded a solid operating performance, with both Guaranteed and Unit-Linked operating margins within our target range, thanks to sound underwriting performance. Additionally, the realization of capital gains in Asia further supported good Life net results, which amounted to a high €227 million. In Non-Life, the continued lower claims frequency in Motor resulted in an excellent combined ratio of 91.7% and strong Non-Life net results of €91 million. We also delivered a solid commercial performance this quarter, recording growth both in Life and Non-Life. In Life, inflows were driven by the successful New Year opening campaign in China, while Non-Life inflows benefited from a strong performance in Belgium and the inclusion of Taiping Reinsurance. This strong start to the year gives us confidence to strengthen our full year guidance. We now expect to achieve a group net profit, excluding the impact of RPN[i], between €900 million and €950 million, which corresponds to the upper range of our initial guidance. Lastly, a quick word on our cash and solvency position before handing over to Christophe. Our cash level amounts to €1.2 billion, of which only €13 million remains ring-fenced toward Fortis settlement, which provides us with great financial flexibility. We have received this quarter €73 million dividends, mainly from Portugal and Turkey. But additionally, AG Insurance and China Taiping have approved the upstream of a dividend of, respectively, €411 million and around €140 million. For the full year, we expect total dividend upstream above €700 million, which represents a significant increase compared to the years before. As for our solvency, it amounts to a strong 195%, comfortably above our target of 175%. As you may have seen, we have finalized the acquisition of a 40% stake in AvivaSA, the fifth-largest life insurance company in Turkey, which will provide us with a balanced life and non-life presence in the fast-growing Turkish markets alongside our long-term partner, Sabanci. Additionally, the sale of our stake in Tesco Underwriting in the UK is now completed. Overall, as these transactions are for a similar amount, the impact will be limited on cash and neutral on solvency. Ladies and gentlemen, I will now hand over to Christophe for a short comment on the segments.
Christophe Boizard: Thank you, Hans, and good morning, ladies and gentlemen. In Belgium, on Slide 5, we achieved a strong performance in both Life and Non-Life. In Life, despite the continued lower investment income from Real Estate, the guaranteed margin amounted to 85 bps, thanks to a sound underwriting performance and the realization of capital gain. See the detail of the capital gain on Slide 18. In Non-Life, the combined ratio still benefited from lower claim frequency in Motor and better-than-last-year weather conditions. On the Commercial front, the decrease in Life inflows was compensated by the strong growth recorded in Non-Life in all business lines. We are gaining market shares here. In the UK, Slide 6, the excellent combined ratio reflected the ongoing low claims frequency in Motor. Inflows remained stable scope-on-scope with a growth in Household compensating from the lower demand in Motor due to the COVID-19 restrictions. A quick reminder, scope-on-scope means without Tesco. In Continental Europe, on Slide 7, the performance was solid in both Life and Non-Life. In Life, the guaranteed operating margin amounted to 151 bps, thanks to a sound underwriting performance. In Non-Life, the combined ratio stood at 86.1%, thanks to lower claim frequency in Motor, partly offset by higher claims in Accident & Health. The contribution from Turkey was impacted by some large claims and an adverse FX evolution. When comparing to last year results, please keep in mind that the first quarter of 2020 included the one-off reserve release of €20 million in Life. Still in Continental Europe, so inflows remained solid this quarter. In Non-Life, the increase in Unit-Linked fully compensated the decline in Guaranteed products, in line with our strategy, while Non-Life inflows increased by 15% at constant exchange rate, with growth in all product lines. In Asia, Slide 8, the high net result was driven by a continued solid operating performance in Life, further supported by the realization of capital gains, thanks to tightening asset management, smart decision to benefit from stock market rates in January. This more than compensated for the adverse evolution of the discount rate curve in China, negative impact of around €40 million this quarter, compared to a negative impact of €28 million last year. Inflows were firmly up, driven by high new business volumes recorded in China during the successful opening campaign and the contribution from Taiping Re. The contribution from Taiping Re to the inflow at 100% amounted this quarter to €154 million in Life and €355 million in Non-Life. The Reinsurance segment, on Slide 9, reflected the lower claims frequency recorded at the level of the ceding entities. Moving now to the capital position. As mentioned by Hans, our group Solvency II ratio, so see Slide 11, stand at a strong 195%. It was up by 2% this quarter following the favorable market movements, mainly the increased interest rates. Our operational free capital generation on Slide 12 amounted to €140 million, including €40 million dividends from our non-controlled participation. This is below our usual run rate of roughly €130 million, as our own fund generation was mitigated by an SCR increase driven by asset management actions. We have indeed pursued the rerisking of our portfolio in response to the continued low interest rate environment. This should bring additional own fund generation in the future. Having said that, we are at the start of the year, and I propose to come back with a more detailed analysis of the free capital generation at the next closing. In the meantime, we confirm our usual guidance for the full year of €500 million to €540 million. This is the end of that shorter-than-usual presentation. But apart from the COVID impact, plus €38 million in Non-Life and minus €90 million in Life, and the capital gain mentioned in Asia, it is fair to say that we had a quiet quarter. Thank you.
Operator: [Operator Instructions] We have our first question from Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: I had two questions. One is basically your buyback. And the other one is the increased guidance. Why not more? Anyway, on the buyback, your very wonderful IR team explained the ins and outs and all the options, et cetera. But really, I would like to get a feel for how strongly you feel about it. Talking about mechanics is not so interesting if maybe we get the number of suppliers like we did last year, with Taiping Re. So I just wondered if you can talk about your appetite for buyback versus deals demand. And the second one is on the increased guidance. So Asia, China, whatever beats by whatever consensus, €47 million, I think, in the quarter. And you raised your guidance by €50 million. And I’m kind of thinking, well, hang on, some of the stuff you did now, it feeds through into higher earnings also in subsequent quarters. I mean you’ve got 11% more assets in Asia. Those create more fees, et cetera. So I just wondered what is the offset. What are you kind of – what are you being cautious about?
Hans De Cuyper: Thank you for your questions, and let me take the two questions. First of all, on buyback, I can only repeat what we said previous quarter. That means that this year we are still guided by the Connect21 commitments, and that is an assessment that we will make after the second quarter results. So we are talking here more around the month of August. So I cannot tell you more now about the potential share buyback, except the fact that we respect the commitments that we have made in Connect21. Second, related on the guidance, indeed, what we have done is we have actually raised our guidance on the Asian part to €400 million, and that brings us, I’m more confident, in the range €900 million to €950 million. Your question, why not more, is that the remainder of the year still has some, I think, important uncertainties. And first of all, is how -- which other COVID impact we will see. And as you know, we have always two COVID impacts. The first one is the claims frequency in Motor, but we see the effect becoming less and less month after month, and we are definitely not anymore at the levels that we have seen last year as well as in January. But on the other hand, we have the Real Estate revenue and that is, to a big extent, the parking revenue from Interparking. And there, actually, we assume that the current drop in revenue, which you could see between 40% and 50% month after month, but that will probably last a bit longer. And we expect it more, I think, to normalize after summer instead of before summer. Let’s not forget that some of our parkings are situated at airports. And I think it’s clear that air travel is not yet fully recovered. And then the third important element is the interest rate evolution in China. You know that we’d have -- with the VIR, we have an automatic adjustment there from interest rates with a smoothening mechanism into the reserves. Previous quarter, we had said that we expected an impact around 2/3 of last year. Last year was €116 million. With the evolution of interest rates, we expect it now to be more in line with what we have seen last year. And so with those uncertainties to stay for the rest of the year, it is too early to raise our guidance more than €900 million to €950 million.
Michael Huttner: Can I just ask a quick follow-up? How much was the quarter number, the Q1 number, the interest rate?
Hans De Cuyper: €40 million before fees.
Michael Huttner: €40 million? 4-0?
Hans De Cuyper: 4-0, yes.
Michael Huttner: Okay. Cool. And by the way, on the buyback, we’re still hungry for more. Very well. That’s all.
Operator: Next question from Ashik Musaddi from JPMorgan. Please go ahead.
Ashik Musaddi: Hans, just a couple of questions I have, please First of all, you gave a guidance of north of €700 million of cash remittance this year. Now the way I think about this is the last year’s dividend cost was €485 million, I guess. And then holding company costs, let’s say, €100 million. So is it fair to say that, if you do a buyback of €150 million, that would entirely be covered by this cash flows? Because in the past, your buyback was only partly covered by cash flows and partly by excess capital. But it looks like the way cash is going up, it is fully covered. And just related to that, I mean, is it fair to say that this increase year-on-year is more or less recurring in nature, like it’s just a normal business trend rather than you’re getting a one-off cash from somewhere? So that’s one. Secondly, any guidance on what sort of Real Estate gains and equity gains we might still get for the second -- I mean, for next three quarters? I mean do you think that we have more or less exhausted on the capital gains on equity side? Or you think that there could be more as well? I’ll stop here. Thank you.
Hans De Cuyper: Okay. Thank you, Ashik. For your two questions, well, they are more global, so I will take that. Well, first of all, indeed, we expect an upstreaming above €700 million from our different operations around the world. We expect if we do a share buyback, and that’s in line again with the Connect21 guidance, we expect that it would be covered by the cash upstream and that we would not eat in our capital or cash position to do this. But of course, this also is linked to the amount that, if we do a share buyback, it also depends on the amount that we will do. Let’s not forget, we are still under the guidance of National Bank and EIOPA on distribution for this year. Secondly, on cap gains, we don’t give forward-looking guidance on cap gains because it’s always highly uncertain with the financial markets. The only thing I can tell you is that, in the first quarter results, there are almost no capital gains from Real Estate. They are mainly coming from the equity portfolio. And we still have the Real Estate capital gains scheduled and are ongoing for the rest of the year, but we expect the results to come in mostly in the second half of the year.
Christophe Boizard: Ashik, we usually try to achieve the global return objective that we have at around 5%. And we complement the income by capital gain, and you will remember that we gave some guidance about what is necessary. And we said it was between €80 million and €100 million a year, so -- but we will stick to that. The aim is to be at 5% return on Real Estate.
Operator: Thank you. Next question from Fulin Liang from Morgan Stanley. Please go ahead.
Fulin Liang: Thank you. I just have a couple of questions. So the first one is, so it’s a very good capital gains in Asia, more than €100 million in the quarter. And did I understand it correctly? You said because of like Taiping took the opportunity to realize the gains. And does that actually implying that they reduce the overall exposure in equity, so therefore we would see less volatility in the future? Or they just recycle the proceeds back into the equity market again? That’s the first question. And then secondly is, could you give us a little bit more kind of -- we understand there’s a very good opening sales in China. But what -- could you give just more color on like what’s the product mix there, channel mix there? And what’s the margin? Is margin better or worse? That kind of more color would be helpful. And lastly is just very, very quickly because I missed the first couple of minutes of the presentation. Did you actually upgrade Asia guidance as well, just in line with your group numbers?
Hans De Cuyper: Okay. Fulin, I pass the questions to Filip. They’re all related to Asia.
Filip Coremans: Yes. Thank you so much for your questions. Let me take one by one. Maybe first on the capital gains. Our CFO, Christophe, mentioned that there were some smart realization of capital gains certainly in terms of timing. And indeed, almost all the capital gains, at least in China, they were made by the end of January.  But the investment mix has not changed. So these have been redeployed into equity markets. Now that redeployment has happened gradually over the quarter. And just on a very high level, the unrealized capital gain position on the equity position in China, compared to the end of year, despite the realization of these capital gains, is hardly changed, in fact. So they realized from a high and deployed over the quarter, the asset mix has not changed. So it’s still in equity, but the unrealized capital gain position is actually, in euro terms, only €80 million down on this realization. So they did a good job in timing, let’s say, like that. Secondly, on the Commercial development, indeed, we can be very positive forward-looking because we will disclose more on this, as we usually do, on -- with our half year figures. But you can see in the additional disclosure that the growth across Asia region and certainly in China in terms of new business has been extremely solid in the first quarter. The APE new business is up 37% for the whole region. Of course, mainly driven by China, but we also saw strong development, and you can see that on slide -- what is the number where we have that? 60, where you see that’s also strong Commercial development in the Philippines and Vietnam and actually Malaysia, but more in Singapore was there. So it’s very broad- based. The quality of the business has also been significantly better than last year. I can already tell you that. We had positive VNB margins in all channels. So in China, both in banca as well as in the agency channel. But the exact figures will be disclosed in respect of our partner disclosing them first by -- with the half-year. But already end of last year, the shift to quality VNB margins was there. It has been continued. And the growth in VNB will be higher than the growth in APE, can tell you that. And the third question was the guidance. Yes, at the end of last year, based on the underlying, we said, yes, we give a minimum guidance of €364 million for Asia region. And indeed, we have raised that €360 million to a €364 million, €364 million range with -- we think that the €400 million is achievable. And to make that picture then complete, that includes the comment that Hans gave, it is after a slightly raised expected fee impact for this year, almost at the same level as last year, which was €365 million last year.
Operator: Next question from Steven Haywood from HSBC.
Steven Haywood: I just wanted to follow up on your rerisking, your asset management actions here. You’ve done a suitable amount in the first quarter. Can you give more detail on what type of assets you’re rerisking into, what the potential yield uplift is? And also, how much more rerisking have you got to do this year? Is that going to be an impact on the capital generation going forward? And then secondly, I just wanted to confirm your capital generation guidance because they I think my line cut out then. Was it €500 million to €140 million for the year?
Christophe Boizard: So indeed, the guidance is for the full year at €500 million to €140 million unchanged. Then coming back on the asset management, here, the rerisking idea is not something new, but something that is ongoing for several quarters. What we are trying to do, while obviously respecting all the policies, the risk appetite and all this, is to go towards more yielding assets. And to give you a sense on this Q1 period, the new money yield amounted to 1.5%. So you may imagine that, that cannot be achieved by simply buying sovereign debt. So we achieved 1.5%. And the 1.5% is on fixed income. So what we do is we do a lot of loans, a lot of loans. This is not new. You are -- you know all the story about the Dutch mortgages, a very fashionable asset class. We were among the first, and we keep on doing -- investing in this, but we are not far from reaching some limits. But then we have other asset classes, which very much looks like this one in France and where we invest along with our partner, Natixis, in social housing, [Foreign language]. So this is where we invest more, in loans. And then besides this, there is this trend, slight increase in the equity exposure, having in mind that we will try to take benefit of the long-term equity opportunity. And this will go even further when IFRS 9 will enter into force in 2023, where our intention is to take advantage of this new option, fair value to OCI, which will allow us to escape from the impairment risk going through P&L. So in a nutshell, more loans. After the Dutch mortgages we are investing in France, but the same time -- same kind of assets, and then slightly increased allocation to equity.
Hans De Cuyper: And then what I can add to make it complete is also some exposure in Real Estate increase, and that is mainly coming in the area of logistics and warehousing.
Operator: [Operator Instructions] We have a question from Farquhar Murray from Autonomous Research.
Farquhar Murray: Just two brief questions, if I may. Firstly, on the pricing strategy in Belgium Non-Life, could I ask how Motor renewals are running at present? And is there any kind of pass-through of frequency benefits going on in the market? Or is it actually market looking through that and into recovery? And then secondly, how does that experience compare to what you’re seeing in the UK just as a point of reference?
Antonio Cano: Antonio here. I’ll answer that one. So on the Motor renewals in Belgium, I would say that there’s nothing really changed, consider they are big increases, but they tend to follow the indexation. So no significant impact in -- on Motor renewal rates in Belgium. On the UK, I guess you’re right, you’ve seen the latest numbers of the market. I think the latest data point coming out was a minus 7% quarter-on-quarter for Motor. So that’s what we observed in the market. Our rate movements are a bit less aggressive, let’s put it at that. So we have not carried out average decreases at that rate. So there is a clear difference between how the market in the UK behaves and Belgium.
Operator: Next question from Michael Huttner from Berenberg once again.
Michael Huttner: I’m really sorry. Just two questions. One is I have a feeling, but I just wondered, maybe you could say a bit about it, that you may be, in order to prepare for higher accidents as the lockdowns end, you might have reserved more or released fewer back book reserves. Just wondered if you can say anything about that. I could be wrong. And then the other thing is Asia. Asia seems to be going on one of those curves which seems to go up to the sky, which of course are exponential. Can you say -- I mean, you raised guidance this year. And clearly, as the interest rate charge maybe and next year would have higher earnings as well, higher earnings contribution, can you say a little bit more about how we think about this midterm? Should we expect -- I think, in the past, my memory’s probably wrong, you saw more pedestrian growth of about 30% a year, but this feels much faster now.
Hans De Cuyper: Okay. I’ll give the first question to Antonio because I think you -- it’s mainly U.K., Belgium-related. And then Filip can respond on Asia.
Antonio Cano: Yes. So on the first question, whether we’re adjusting our reserves given profit or whatever, no, we don’t change the reserving approach. What you see is more mechanical effects, so the IBNR patterns and things like that tend to change somewhat because of the reporting patterns, but there’s no deliberate strategy to say -- to set more aside. It’s just a normal mechanics that overall you could say that the ratio of reserves towards earned premium would slightly go up. But that’s more a mechanical thing. There’s no deliberate strategy behind that. It’s business as usual. 
Filip Coremans: And Michael, thanks for your additional question on the longer-term guidance of Asia. Now I’m going to be a bit evasive on answering that because I think we will give a longer-term outlook perspective when we talk to you guys in a month or so around our Impact 40 strategy. But indeed, Asia is starting with a little bit as expected and as indicated at the end of last year. We are aware of the Fed impact. Okay. It moves obviously with interest rates. And it is now slightly higher than we expect for this year than what we indicated at the end of the year. That is also because we have very strong growth. If you look at the growth of that balance sheet, it was up 11%. And the results actually of this quarter because -- if you take fees and capital gains out, you may have the impression it’s rather flattish in comparison to the first quarter last year. But let’s not forget that’s 37% growth in APE and related channel development costs in China because we’re building up agency network first. They have some strain in that result, which will moderate out throughout the year. So we feel that we are exactly on track to deliver what we promised. But for the longer-term outlook on the region, I would like to reserve the answer until we talk about our Strategy24.
Michael Huttner: And if I may ask a really cheeky sort of question. In 3 years’ time, will we have -- will the next strategic update be in Hong Kong or Shanghai?
Hans De Cuyper: I’m taking Chinese lessons, yes.
Operator: Next question from Colm Kelly from UBS.
Colm Kelly: Yes. Just following up on the answer to Asia there, I suppose like -- you’re indicating -- look, there’s higher strain due to the impressive growth in the quarter, and that’s depressing the year-on-year underlying earnings growth. But clearly, that’s something you want to balance all three and generate significant growth in all three at all times in terms of growing new business at a strong rate, but also growing earnings and cash flow. So it didn’t quite exhibit that in 1Q. Clearly, it needs to exhibit it going forward. So can you just help to indicate how the balance of those three are expected to develop from here? That’s the first question. The second question is just around long-term equity. So you indicated that the tailwinds there from a regulatory perspective should help to increase appetite for equity investment. You’re currently, I think, allocate around 5% of assets to equity assets. Do you have any indication of where you would like that allocation to get to based on the guidance that’s been provided by the regulatory authorities? And do you have any sensitivity in terms of capital generation as to how much uplift to capital generation you would get from, say, a 1% increase in allocation to equity perhaps coming out of something like sovereign bonds? Is there any indication of the potential uplift from that?
Hans De Cuyper: Yes. On the Asian one, again, I think we’ll provide more guidance on that one during the Impact24. But just three ballpark figures that give you a feel of what is happening there on a very high level. If you look at our disclosures first on operational free capital generation, we only put Asia there in a footnote. Why? Because obviously, it is not Solvency II. But when you look at the figure that we mentioned there last year and this year in terms of our ballpark estimate on the free capital generation -- operational free generation in Asia, it went up from €369 million last year to €413 million in this year report. That’s one. Secondly, when you look at the results, we raised it now to a range €354 million, so slightly below that still, meaning there is still strain. And thirdly, if you look at the evolution of the dividends that are flowing out of the Asian region, this year, in the €700 million that Hans indicated, you saw the step-up of China. But roughly, €170 million is now coming out of Asia. So take these three together, and that is the situation, more of half of the earnings and certainly more than half of the free capital is still being redeployed and invested in growth in the region. But slowly, but certainly, these three figures are moving up in tandem, but there is still a lead on capital generation, followed by the profits, which are always emerging due to strain a bit later, and the dividend flow is also increasing gradually but slowly. I think all macro indicators there are good on the figures that you can find in our results pack.
Christophe Boizard: And maybe more generic on long-term equities. But first of all, the capital realization should assume over-the-cycle return of 7%. So that’s what we take, whether it’s long- term equity or normal equity, that’s what we take in FCG. But of course, you do have the benefit on the solvency side because capital charges is roughly half, okay, depend on -- at the moment, but roughly half. On IFRS, yes, in the first place is the dividend yield and then is the realized capital gains that, at the end of the day will run into the average results. But anyhow, that’s all going to change once IFRS 17 is coming on board, and then we will have to revisit that.
Operator: We have no more questions for the moment. [Operator Instructions] We have a new question once again from Michael Huttner from Berenberg.
Michael Huttner: Can you say a couple of words at the format of the -- of your -- of the presentation, so Connect21 and your so-called Strategy24 in a month’s time, please?
Hans De Cuyper: We will share that with you in a month’s time.
Michael Huttner: Thank you.
Operator: We have another question once again for Ashik Musaddi from JPMorgan.
Ashik Musaddi: And just -- sorry, again, for going back on Asia. I mean it is an important topic, so that’s why coming back on this. I mean if I think about what you’re saying is you have raised the guidance by about €50 million for Asia. And at the same time, the underlying earnings are impacted €40 million by higher interest rates, lower interest rate impact. It feels like the increase in the guidance on an underlying basis is about €90 million. Is it possible for break that in terms of how much that increase is underlying and how much would that be capital gains-driven? So that would be the question. And just as a follow-up, I mean, what -- I think in past, you have guided for about €100 million capital gains in Asia, if I remember correctly. Can you just confirm that, if possible?
Hans De Cuyper: Yes, Ashik, obviously, this is not a science. This is financial markets, Ashik. So indeed, you think about it. We say we go for range €300 million, €354 million. And we realized now roughly €150 million, that means that we have €200 million to €250 million to go. We also gave guidance that valuation interest rate impact could be at a similar level as last year, meaning that we had €40 million now that at least in our estimate, €60 million is to come. If we look at the underlying that I mentioned, excluding VIR and capital gains, we had a run rate of about €90 million for the first quarter, were effectively held back a little bit by strain. So if you put all these in the mix, you can see that indeed, there is still some requirement of additional capital gains to compensate some of the VIR impact to reach our target.
Operator: Thank you. We don’t have any more questions. Back to you for the conclusion.
Hans De Cuyper: Ladies and gentlemen, thank you for your questions. And to end this call, let me summarize the main conclusions. Our strong net result was driven by a solid performance in both Life and Non-Life. Inflows were up, thanks to a good sales momentum, especially in China and in Belgium Non-Life. The strong start of the year led us to strengthen our full year guidance to €900 million to €950 million. With this, I would like to bring this call to an end. Don’t hesitateto contact our IR team should you have outstanding questions. Thank you for your time, and I would like to wish you a very nice day.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference call. Thank you all for your participation. You may now disconnect your lines.